Operator: Good day, and thank you for standing by. Welcome to the Strawberry Fields REIT LLC Fourth Quarter and Year End 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a question during the session, you will need to press *11 on your telephone keypad. I will now hand the call over to Jeff Bajtner, Chief Investment Officer. You may begin.
Jeffrey Bajtner: Thank you, and welcome to Strawberry Fields REIT LLC’s Year End 2025 Earnings Call. I am the Chief Investment Officer, and joining me today on the call are Moishe Gubin, our Chairman and CEO, and Greg Flamion, our CFO. Yesterday, the company issued its Year End 2025 earnings results, which are available on the company’s investor relations website. Participants should be aware that this call is being recorded. Listeners are advised that any forward-looking statements made on today’s call are based on management’s current expectations, assumptions, and beliefs about Strawberry Fields REIT LLC’s business and the environment in which it operates. These statements may include projections regarding future financial performance, dividends, acquisitions, investments, returns, financings, and may or may not reference other matters affecting the company’s business or the businesses of its tenants, including factors that are beyond its control. Additionally, references will be made during this call to non-GAAP financial results. Investors are encouraged to review these non-GAAP financial measures as well as the explanation and reconciliation of these measures to the comparable GAAP results included on the non-GAAP measure reconciliation page of our investor presentation. And now on to discussing Strawberry Fields REIT LLC and our 2025 performance. I want to start by sharing some key highlights for the year. Throughout 2025, the company collected 100% of its contractual rent. This is something we are very proud of as collecting our rents year in, year out shows our disciplined investment approach works. On 01/01/2025, the company retenanted its 10 Kentucky properties, formerly part of the Landmark master lease. The new tenant, Hill Valley, has a strong background in operating skilled nursing facilities and was a great fit for this portfolio. The new base rents are $23,300,000 a year and are subject to annual increases of 2.5%. The initial lease term is ten years with four five-year extension options. Also in January, the company entered the state of Kansas by acquiring six facilities consisting of 354 beds for $24,000,000. The company entered into a new triple-net master lease with Willie and Michelle Novotny of Advenicare for an initial ten-year term that included two five-year extension options. In June, the company issued 312,000,000 shekel in Series B bonds on the Tel Aviv Stock Exchange, which is approximately $89,500,000. The bonds are unsecured and were issued at par with a fixed interest rate of 6.7%. This was the company’s sixth series it completed on the Tel Aviv Stock Exchange since the company was founded in 2015. And we look forward to maintaining this long-standing relationship. These numbers reflect the success of the company’s disciplined investment approach and our ability to close on deals that are accretive to the balance sheet. I would now like to have Greg Flamion, our Chief Financial Officer, discuss the year-end financials.
Greg Flamion: Thank you, Jeff. Welcome everyone to the Strawberry Fields REIT LLC fourth quarter earnings call. Let’s begin with a look at our balance sheet. Total assets are $885,000,000, an increase of $97,900,000 or 12.4% compared to 12/31/2024. Our asset growth was driven by a couple of key factors. First is our recent real estate acquisitions. This includes $112,000,000 of acquisitions in 2025. Second is the retenanting of key leases, namely the Landmark master lease into the Kentucky master lease. On the liabilities and equity side, increases were driven by financing activity associated with our acquisitions along with the impact of foreign currency translation adjustments. Together, both of these factors contributed to the overall growth in our debt balances. Equity declined, reflecting lower other comprehensive income driven again by the foreign currency translation adjustments. Continuing now to the consolidated statement of income. 2025 revenue was $155,000,000, up $37,900,000 compared to 12/31/2024. This represents a 32.4% increase, which was driven by the timing integration of properties acquired in 2024 and 2025 and the Landmark to Kentucky master lease retenanting that began in January 2025. While we experienced higher revenues, the income growth was offset by higher depreciation, amortization, and interest expense, which is driven by new property acquisitions. This results in a year-to-date net income of $33,300,000 or $0.60 per share compared to $26,500,000 or $0.57 per share in 2024. Finally, I would like to end my presentation with some financial highlights. Our 2025 AFFO was $72,500,000. This is a growth of 29.8% versus 2024 and represents a 13.3% compound annual growth rate. The 2025 adjusted EBITDA is $125,300,000. This represents a 38.2% increase compared to 2024 and a 13.5% compound annual growth rate. Our net debt to net asset ratio currently sits at 49.5%. As of 12/31/2025, our dividend was $0.16 a share, representing a 4.9% yield and an AFFO payout of 46%. This concludes the financial portion of the earnings call presentation. I will now turn it back to Jeff who will walk us through additional portfolio highlights.
Jeffrey Bajtner: Thank you, Greg. Our portfolio highlights are as follows. Currently, our portfolio has 143 facilities located in 10 states, which comprises 16,602 licensed beds. The total value of our portfolio acquisition is $1,100,000,000. But if you take the value of our portfolio based on the leases, that amount is closer to $1,500,000,000. There are 17 consultants advising our operators. Our weighted-average lease term is 7.2 years. I am happy to report that our tenants continue to do well, and our EBITDARM rent coverage as of November 30 was 2.07. Our net debt to EBITDA is 5.7. As I mentioned earlier, we continue to collect 100% of our rents. And as a final point, our acquisition pipeline remains strong at $250,000,000. As Moishe and I have mentioned in the past, for us to close on a deal it has to meet our disciplined investment approach, which is a 10 cap at acquisition. And with that, I pass it on to Moishe Gubin, our Chairman and CEO, to continue the presentation. Okay. Thank you. Thank you, Jeff. As Jeff mentioned, this was a great year for our
Moishe Gubin: best year we have ever had, and it was a great year for our AFFO growth. We had a 13.3 which is the average growth rate over the last six years, probably from $38,000,000 to $72,000,000. These are really good numbers that we are very proud of. On the next slide, we have base rent. Again, 13.4% growth rate. Almost double like the last one, very similar numbers from $75 in 2020 to $142,000,000 six seventy five. These are good numbers that we are very happy with. And on the next slide, we talk about our stock price, which in December, we hit an all-time high. We got to $14 a share. And we are still way undervalued. We believe that our stock value was, you know, close to $18, $19, $20 a share. Our stock is still straggling behind our peers. But, you know, we figure we will keep doing what we are doing fundamentally. Strong business and, God willing, eventually, everything will get caught up, get caught up to us. You could see on the next slide how the AFFO multiples, for us, we are at the lowest of everybody at 9.5 times. And CareTrust, or even Sabra is at 12.8. And CareTrust is at almost 20 times. They are doing real good. We are happy for them. They are good people. The return on the stock, 30% return this year, that is pretty good. We are happy about that. Though we feel that when the market truly gets to where we are supposed to be, we will see a nicer pop than 30%. That being said, next slide, our AFFO payout ratio continues to be the lowest where we are paying out 47% of our AFFO, using the rest of the money to pay down debt as a placeholder but to be able to use it to buy more assets. Our dividend yield because we are still, you know, the pack—CareTrust, HI, and us—about 5%. And we feel that that is a good place to be. Especially when we are able to take the money, put the money out the door at a 10 cap. Where we could get to a blended return at this point, a blended return of about 17% to 18%, which is what it has been. And we are very happy about that. Really, it is a very calm portfolio, collecting our rents, doing what we are doing, growing when we can. We are still anticipating guidance of being able to grow $100,000,000 to $150,000,000 a year, hope to beat that, and we had a deal that fell through that we were going to announce, that $890,000,000 deal. I was so happy to go get that and get it out of the way earlier in the year. But that fell apart, unfortunately. But, God willing, we will be able to hit our targets of, you know, $100,000,000 to $150,000,000 this year. The next slide really just talks about how we are still the pure-play skilled nursing facility health care REIT. We were recently at a convention and we asked investors and others if they thought we were doing the right thing. And everybody across the board said, no. You keep doing what you are doing. As the pure play, people will gravitate towards you. So we feel like we are going to just keep sticking with our guns in how we do things and what we are buying, and we should be able to continue staying above 90% in skilled nursing facilities. The next slide really just talks about the coverage, our rent coverages. Over two times rent is pretty good. We are happy with that. And, hopefully, that will continue. Our AFFO per share growth, you could see, we are the highest. Proud of that as well. 12.8% over the last five years. It is good. We are running a nice clean business, as you guys know. And we expect things to be able to stay the same or improve going forward. On this slide 12, we are just showing how our debt maturity schedule is currently. In the next few weeks, me and the team are heading to Israel and at the same time, we should be announcing that we are entering into a term sheet with a bank for the unsecured line of credit and term loan, which we talked about over the last few years. So we expect in the next 45 to 60 days to be able to have most of our debt cleaned up and pushed off to have almost equal maturities over the next four or five years. And so we are really happy about that. I have been pushing that for a while. We will have a bunch of availability under our line of credit once it is done—over $100,000,000. So it will help us. Actually, the most important thing that it will probably help us with is that it will be able to tell potential investors that we have cash. We are able to get a deal done. If you are worried about our growth, besides looking at our previous history where we have been growing nicely year over year, they would be able to say, okay. They have the cash to be able to grow. I want to try to get rid of all these impediments so the stock will have less pressure to not improve. Slide 13 has become my favorite slide. This just shows how diversified we are by state, where the largest concentration is Indiana, which is our best state. Which is a good situation to be in. Everybody else is in the low double digits. And you see it is pretty evenly dispersed throughout the states and by consultants in the states. So this is good. Hopefully, this is the year we will add maybe one or two more states. And that will be great. And we will continue to diversify this pie graph. Lastly, for me, slide 14 just shows you—I am color blind, but I know that basically what we do is bring in regional operators, and the color should indicate that through all of our operators and portfolios, we are growing and we are staying in little pockets of each state. And, hopefully, that will continue. And things are going great. The bottom pie graph just continues to drive home the point of how we are the pure-play SNF health care REIT. And we are going to continue to stay the same way that we are. Okay. And with that, I will hand it back to the operator for any questions. I want to thank everybody again for joining us today. And I will answer whatever questions that anybody has.
Operator: Thank you. As a reminder, to ask a question at this time, you will need to press *11. Please stand by while we compile the Q&A roster. First question will come from the line of Rich Anderson with Cantor Fitzgerald. Your line is now open.
Rich Anderson: Hey, good morning, everyone. Great quarter. So if I could ask a sort of mathematical question first. The EBITDARM with an M coverage of 2.07 times, what does that equate to on a DAR basis in your mind?
Moishe Gubin: So what do you guys want to answer? You want me to answer that?
Jeffrey Bajtner: I could get you that in one second. You want to go to the next question? I will get that for you.
Rich Anderson: Another mathematical one, and then I have a bigger picture one for Moishe. But with the very attractive payout ratio of 47%, what does that equate to from a free cash flow available to you after dividend, which is zero cost of capital essentially? And, you know, where do you see that sort of growing to over the course of time? And what are the pressures on you to have to raise the dividend to maintain some sort of REIT, you know, standard as it relates to dividend payout?
Moishe Gubin: So the number is right around $40,000,000 after everything is said and done that we are stockpiling. But, you know, the pressure based on REIT rules—I mean, we are at about 100% of distribution. So, like, we have room if we wanted to hold back, but you know, as we make more money, we are trying to build up a following in the marketplace that says, okay. We could trust these guys that every year they pay the same or more. And so we want to have an annual increase every year. The bigger fights in the board meetings have been how much the increase should be, whether it be $0.01, $0.02, or more. And, again, I am actually the one who is pushing not to go crazy on the dividend from the point of view of because if, God forbid, we are not able to meet it one time, I do not want to be erratic and then lower it. And I want to be able to always be relied upon that you will know that the dividend, if you are investing in our company, you know you are going to get at least this or more going forward annually. And so that is what I have been protective of. And so far, we have been doing it exactly that way for four years at this point almost, I think. And it has been good. And so, you know, that $40,000,000 equates to being able to buy easily $80,000,000 and whatever else we need to supplement with, we could supplement. Well, first off, since we are paying down a bunch of debt every year, we could draw on the debt to keep our—because our leverage today is below 50% or right around 50%, and we could then still draw on those lines and ratchet back up to 50% and draw on that to be able to close deals. So I think I answered, and good to hear your voice, Rich. Yeah.
Rich Anderson: And, Jeff, you have an answer for the DAR?
Jeffrey Bajtner: Yes. Our EBITDAR coverage is 1.6. 1.6. Okay. And then last for me, Moishe, the news out there today on Medicare Advantage—sort of flat for next year. Wondering what your exposure is to MA in the portfolio and what concerns you might have that fee-for-service Medicare, to the extent you have any major exposure, is kind of a risk to the industry, if not necessarily directly at you. Thanks.
Moishe Gubin: Yeah. So that is a good question. If you are talking about the context of Strawberry Fields REIT LLC, you know, we do not have any SHOP in our portfolio. We do not have any of our rents that are predicated on results of our tenants and our rent changing up or down as bonus rent or not bonus rent. So we do not suffer from that at all. And the fact that the coverage is a 1.6, like Jeff said, is an EBITDAR—and I would have thought it would have been a little bit lower. But, actually, I am happy that it is 1.6. 2.07 is the number we are actually looking at. But the point is that we do not have any of those risks in our portfolio. And because of the master leases, individual facilities that might be marginal—you know, the overall portfolio—our tenants are doing well. So, you know, a lot of these things are just—they happen one year, and then next year, they will raise the number for the increase, you know, to make up for the year before. So I am not too worried about it. You know, some of the other REITs that are out there, you know, they are more connected to the operator as far as operator results. And they will probably suffer a little bit, but in the grand scheme of things, it will bounce back. You know, this has been the way it has gone. You know? Even administration to administration. Year to year it is the same administration—that is gone. Because then they realize the operators cannot live. They rely on Medicare to help supplement the shortfall that Medicaid has. And, you know, as time has gone on, they have squeezed that the operator makes less. And the operators are okay with that, I guess, today where it is, but it is still—they work in tandem. And when the nursing homes get squeezed too much from the rate from the government, they are not, you know, which where it is short, right? They go back, and then the government fixes it. And so I am not too worried in the grand scheme of things. Again, you know, we are in an industry—we have talked about the silver tsunami. We are in an industry where we are a necessary business. The nursing homes need to take care of people, and people need to be taken care of. The nursing homes are the least expensive model to be able to take care of people. And we provide the role as the REIT to be the landlord and provide the capital so an operator does not have to put the money in and buy the real estate. And, you know, we have a very simple model that has been working so effectively for so many years. And that should hopefully continue.
Rich Anderson: Great. Thanks very much.
Operator: Thank you. Our next question coming from the line of Gaurav Mehta with Alliance Global Partners. Your line is now open.
Gaurav Mehta: Yeah. Thank you. Good morning. I wanted to ask about the balance sheet for the 2026 debt maturing. What do you really expect the new rates to be compared with the maturing debt?
Moishe Gubin: So we modeled out that the line of credit debt is going to come back in at SOFR plus 2.70—about SOFR plus 2.65 to 2.75, right around there—and that the bond debt is going to come in around 6.25%. So assuming we pay off the conventional that today is sitting at SOFR plus 3 to SOFR plus 3.25, let us say, as a blended—so that will go from SOFR plus 3 to 3.25 to, we will say, probably 50 basis points above that on that, like, $160,000,000 or so or whatever the number is. And then for the bond debt, we will see a savings of a drop. It is not going to be a big savings, but it will extend the maturity out four or five years, and nice and clean. And it also at this point will be helpful for refinancing that, because then I do not have to deal with the currency. Right now, the dollar is weak and the shekel is strong. And so I need to kick that can down the road so that I am not stuck using dollars to pay off shekel debt. And so because in the grand scheme of things, the shekel will drop at some point, and the dollar will strengthen. It is inevitable. And when that happens, we will make a bunch of money on the currency exchange too.
Gaurav Mehta: Alright. That is great color. Second question on the April financials. In the G&A, were there any one-time items that you guys reported? And then going forward, is the run rate for AFFO per share in 4Q the right number?
Moishe Gubin: Greg, you want to answer that?
Greg Flamion: Sure. So, yeah. In the G&A, we did have, let us just say, a one-time item. We had some additional payroll that came through in Q4 due to additional executive compensation. So that was a little bit higher than what we were expecting to come in, I guess, from earlier on in the year. However, looking at the payroll going forward, we think that it is not going to be any further, right, increases going into 2026. So basically, Gaurav, what the one-time event is I finally got a raise. I have been paid $300,000 a year for the last fifteen years or something like that. They finally gave me—a compensation committee decided to give me—a raise to $700,000, which I think I am still way underpaid. Does not make a difference to me. But reality is that in Q4, they recorded somewhere between—and it went back—they did it retroactively to, like, eighteen months. So I think they recorded about $1,000,000 or $1,100,000 in a one-time thing. Our go forward—you know, we ended the year with an AFFO of $1.30. We should beat that easily in 2026.
Gaurav Mehta: Alright. Thank you. That is all I had.
Moishe Gubin: Thank you. Have a good weekend.
Operator: Our next question coming from the line of Mark Smith with Lake Street. Your line is now open.
Mark Smith: Hi, guys. I wanted to ask first about the acquisition pipeline. Have you seen any changes in this pipeline, either in volume or valuations? And, you know, is the only real potential impediment to continued growth through acquisitions really just access to capital, or any thoughts on kind of continued growth through acquisitions in your pipeline would be great.
Moishe Gubin: So I will answer that, and then Jeff will add to it. Give him a little time to think because he is not as fast and as speedy as I am. So the starting point is we have never had an impediment as far as cash. We are confident, and we know that debt markets—and, you know, I do not want to sell equity at such a cheap price. But reality is we keep track of what our NAV is. And worst case scenario, if we had to sell equity above NAV, it is still accretive. It just does not feel right doing it, but the point is we could always do that. Over the years, we have stayed very disciplined, as you guys know. And, lately, the deals that I am seeing personally are sale-leaseback deals. Seems to be a ton of that. And so this year, likely, which will be a little bit different—it is the same math—but a little bit different of an operator, where it is going to be the same operator in a spot that we could tell you, we could tell somebody, this is what they are doing and this is how they are operating and see how much money they are making. Then we are going to rebalance them to, you know, a 1.25, which is how we underwrite to. And then, you know, as opposed to what we typically had done—not that we were adverse to sale-leasebacks—we typically were just buying and then retenanting. In this case, it is going to be a little bit easier on one side, and the fact that you will have people that have been the operators there for many years—that is what I am seeing. Jeff, you want to add to that?
Jeffrey Bajtner: I mean, I think Moishe is dead on with his view on it. I mean, it is not an issue with access to capital. I mean, the deals are coming in day in, day out. I mean, they are coming in from across the country. But as we said in the past, we are in our 10 states. To add to our existing 10 states, it is very easy to grow the master lease. But finding a new state to go into, we may need a sizable acquisition. And valuation right now—prices have gone up significantly. I mean, especially—I would say last year I was on the East Coast. This year, we are seeing in the heartland of the country—you are seeing prices per bed go to their highest levels that they may have ever been. And for us, with our disciplined approach, we are sticking to our guns, and if a deal makes sense, a deal makes sense. I mean, Moishe has always said, if a deal pencils out, we are going to close it. So that has been the approach that we have been going at. I mean, since I have been with Moishe for about five years now, and there has not been a deal we have not closed. So we are always looking, and we are always looking at different ways we can grow, but it all goes back to the basics. It is a 10 cap acquisition, 1.25 coverage on day one. So as we enter 2026, we are excited to see what is going to come our way. The sale-leasebacks have been very front and center for us, and we look forward to seeing everyone next quarter, and we will hopefully have some deals to report then as well.
Mark Smith: Perfect. The other question that I have was really around occupancy—sitting here, I think you guys said like 76%. Just kind of curious your comfort level at that rate and where you maybe see that moving and impact to the model as occupancy maybe moves up or down?
Moishe Gubin: Yeah. So I will answer that. I mean, we have talked about this before. I know that there are REIT analysts and folks that look at a bunch of different, you know, multifamily and other things across the board. In the health care space, the occupancy is not a great gauge of how a portfolio is doing. You know, we are in states—and I have talked about this before—like we are in Oklahoma. In Oklahoma, the average occupancy for the whole state is like 50%. And, rightfully or wrongfully, they want in Oklahoma—they should have a nursing home local for every county, as an example. Similar to Indiana, same way. But Indiana, the average occupancy is like 70%, compared to 50% in Oklahoma. But they did it because they did not want people that wanted to visit their mother in a nursing home to be driving an hour every day to go visit mom. And so you have certain states. So we are in states in the Midwest that are known as low-occupancy places. Now Illinois occupancy averages like in the 90% and, you know, or high 80s. Same with Kentucky, 85%. But Arkansas is a low number. And our operators are doing great there. They are beating the trend and the state average. Indiana is right around how Indiana runs—maybe a little bit lower actually—and not we are in our tenants’ operations. So that being said, our—and, again, our revenue is not based on occupancy because in our case, you know, our we are showing 100% occupied because every building that we have has been leased out, and we get paid a rent no matter how full they are. But that is just the color I want to provide you. I do not know if that helps you or hurts you, but that is—you know, we expect our portfolio is now probably right around or the same or higher than it was before COVID. It has taken a bunch of years to recover. And we are okay with it. I mean, we are really looking more at rent coverage more than occupancy of the tenants.
Jeffrey Bajtner: I would add to that as we are underwriting the portfolio, their occupancy may have been in the 60s, and now four or five years later, their occupancy has gone up, which is ultimately helping their bottom line, giving higher rent coverage. But as Moishe is saying, the likelihood of them being—in other, I would say, verticals of real estate—net lease, multifamily—100% is very important. In this particular case, it is a little less important. It is more just—it goes down to the operations.
Mark Smith: It sounds like the big thing to look at is really the collected at 100%. And if you can continue to do that even at occupancy in some states as low as 50%.
Jeffrey Bajtner: Yes. Yeah. Yeah. Because when we buy it, we are not buying it off of we are not buying it off of what could be. We are buying it off of today—where does the deal play out as far as coverage? And, you know, I guess that is the difference between us and maybe multifamily. Where multifamily—they want to charge market rents, and they are assuming something. And they are giving a vacancy rate of 5% or something, and then they are buying off of that. Then they have to build into that. We are not buying into that. We are charging the rent that is a mathematical formula off of what we are paying. And we are praying every day that our tenants do great and raise occupancy because the more coverage they have, the more certainty we have we will get our rent. The more certainty we have that we are going to get our rent, the more certain we are that we can pay a dividend and buy more assets. And the more we do that, the more we know that we are going to make more money. And, you know, wash, rinse, repeat—wash, rinse, repeat—and keep doing it. And that has been what we have done, and that has been effective and successful. And we want to keep doing that.
Mark Smith: Excellent. And I know from your presentation, it seems like the demographic trends that you guys call out gives us a long runway. We do not need to really worry about occupancy dropping off because of just demographic trends and aging out.
Moishe Gubin: Yeah. The transcript is not going to catch the fact that all three of us started bobbing our head. Yeah. Exactly. Exactly what you just said. I was going to silver tsunami. It is—you know, reality is if you are really a prognosticator, right, our tenants should—as long as the government does not decide to start being anti-geriatric folks—there is absolutely no reason why our tenants will not have coverages way in excess of, you know, two, three, four times. Because ten years from now, you know, we are still making our 10 cap return with, you know, annual inflationary increases, and they are going to be making—outside of the cost of labor, you know—but their cost of occupancy to be able to have the space to be able to run the nursing home, that is going to stay relatively flat other than small inflationary increases. But they should have their occupancy go up through the roof, certainly in bigger cities. You know? I do not know if Bardstown, Kentucky is going to—now, it happens to be that building is relatively—well, you know, that is maybe a bad example. Like, Elkhorn County—the place is full. But the other places where they are running 60%, 70%, 80%—or 50% in Oklahoma—you know, that number ratchets up to 70%, 80%, 90%. You know? Our coverage is going to be through the roof, and that is really what we want. We want the country to have nursing homes to take care of the residents and be able to take care of the residents when they make money. And for them to make money, they need a landlord that is not too onerous and buys properties effectively at the right pricing and gives them a rent that they could live with. And that is the model we have.
Mark Smith: Excellent. That is helpful. Thank you, guys.
Moishe Gubin: You are welcome.
Operator: And I am showing no further questions in the Q&A queue at this time. I will now turn the call back over to Jeff for any closing comments.
Jeffrey Bajtner: I would like to thank everyone for joining us on this call. We appreciate you joining us. We appreciate your support. If anybody has any questions or would like to reach out, send us an email at ir@sffreit.com. We look forward to seeing you again next quarter. Have a great weekend.
Greg Flamion: Thank you.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.